Operator: Good morning, ladies and gentlemen and thank you for joining our conference call today to look at the Second Quarter 2024. The audio is going to be in Portuguese, and we're going to have simultaneous interpretation into English. [Operator Instructions] We'd like to remind you that this video conference is being recorded and it will be made available later on, on the company's Investor Relations website. [Operator Instructions] I would like to turn the floor over to Mr. Mateus Bandeira, CEO. Mr. Mateus Bandeira, please?
Mateus Bandeira: Good morning, everyone. Thank you for joining our conference call to discuss the second quarter 2024 results. I have got the executives with me here. Cristiane Barretto, our CFO; Rogerio Takayanagi, our Chief Strategy and Transformation Officer; and Thalles Paixão, our Chief Legal Officer. We recently made extremely important progress in the execution of the reorganization plan and in our pursuit of the company's long-term sustainability, and that was through the conclusion of the process of restructuring Oi's financial debt and with the issuance of new bonds. Therefore, we will dedicate these first minutes of the presentation to explaining the New Oi in this new context with a significant change in its capital structure and the transformation pillars. In the second part, we'll have the traditional presentation of our second quarter results. And finally, we'll open for questions. We're looking now at Slide 4. This is a summary of our transformation pillars, and that has to do with the plan approved in May by the Reorganization Court. I would like to highlight that we have concluded the debt restructuring process, achieving a 70% reduction in our financial debt. A new debt profile and a significant reduction in credits with take-or-pay suppliers. We have also concluded the issuance of new debt instruments, providing liquidity for investments in the operation and we'll now take a critical and fundamental steps with the sales of the UPIs, ClientCo and V.tal and some of our real estate assets. And the proceeds from these disposals will be mainly allocated to an even greater reduction of the debt as per the plan. As for the resizing of our legacy, we have seen significant progress in the consensual solution for the regime migration. And that will allow for the migration, which I will explain later. The migration will bring significant efficiencies and the investment obligations will be mostly assumed by V.tal. So there will be no impact on Oi's liquidity. We'll also resume the arbitration process as soon as we have the confirmation by the assembly. And we'll also resume the arbitration process, where we seek compensation for the historical imbalances in the concession with benefits to both of the Oi stakeholders. As a result of the asset sales, the New Oi operations will focus on B2B mainly, with revenues coming from our corporate clients through the provision of integrated digital solutions seeking to maximize efficiencies in a model that is not very capital intensive. I'll now turn the call over to Cristiane, our CFO. She's going to go into more details around the debt bonds and the restructuring process. And then we're going to have Thalles Paixão touching on the regulatory matters.
Cristiane Barretto: Thank you, Mateus. Good morning everyone. Moving on to Slide 5 on the 8th of August, we completed the process of allocating credits and issuing new debts for the company in line with our Court-Supervised Reorganization plan, providing greater liquidity for Oi in addition to better conditions and reducing the debt. The new financing with creditors was signed for a total amount of US$601 million through the conversion of an existing DIP financing into notes issued by the company with a maturity in June 2027. Therefore, this does not represent new resources for Oi, but rather an improvement in our debt profile. The proceeds had their credit proportionally allocated to the roll-up debt subscribe for the main aggregate amount of $1.3 billion as per the terms of the plan. The new third-party financing was fully subscribed to V.tal also maturing in 2027 and representing an additional net payment of approximately R$760 million for Oi. That's ensuring greater liquidity for investment in the continuity of the operations. The interest and guarantee conditions shown on this slide are those that we have previously presented and that are included in the plan in its annexes. But I would like to highlight that regarding the guarantees and the new financing, there's a new lean for the UPIs of ClientCo and V.tal, which I'll describe in the following slides. Slide 6. Through the debt restructuring, mainly due to haircuts and more advantageous terms contained in the RJ Plan. The financial debt at fair value reduced approximately 70% quarter-on-quarter. It's important to note that this number does not yet include some effect, mainly those related to the new financing with V.tal, which was paid on the 8th of August and will therefore be accounted for as of the third quarter 2024. I'd like to point out that out of the amount of Oi's debt at face value of approximately R$33 billion in the second quarter 2024, R$22 billion referred to the amount under the general offer clause, most of which stems from the second reorganization process with a maturity date starting in 2048. And an option for prepayment into maturity with an 85% discount. And therefore, the remaining debt amount of R$11 billion compares with the amount of R$33 billion in the first quarter 2024. On the right side of the slide, we see the effect of the restructuring credits with the company's take-or-pay suppliers, which refer to tower companies and satellite capacity. The new terms represent a total reduction of over R$6 billion in payments to these suppliers with a reduction of R$1.5 billion in the first 3 years, starting in 2024. The balance sheet decreased by approximately R$2 billion compared to December 2023. Additionally, as a result of the allocation of creditors in Option I of the Reorganization Plan, the credits not allocated in the roll-up debt will be proportionally converted into New Oi shares, to be issued through a capital increase to be carried out in the second half of the year. Collectors will receive 264 million shares at a price to be set and approved by the Board of Directors. With that, creditors will hold up to 80% of Oi's capital, as you can see in the table, on the lower right side of the slide, while 20% of the capital remains at the current shareholder base. I'd now like to turn the call over to Thalles for him to talk about the asset sales and regulatory solutions as well as the next steps in the reorganization process.
Thalles Paixão: Now on to Slide 7. Once we -- once the restructuring is complete, and it is already underway, we will have the completion of the sale of the UPI ClientCo. That is our fiber unit, a unique asset with more than 4 million homes connected via FTTH with approximately 300 cities nationwide. Regarding the competitive process on the right side of the slide, we see the first round was closing the 6th of August. The next steps now are to publish a new notice for the second round of the competitive process with the hearing to open proposals taking place 15 days later. In the second round, there will be no minimum price for the sale of the UPI ClientCo and proposals that provide for any form of payment or a combination of them, including payment in cash, shares or credit compensations, for example, may be accepted. We expect the transaction to close by early 2025 after the applicable regulatory and bid approvals. And we will allocate the proceeds from the sales primarily to repayment of debt as set forth in the RJ plan. Moving on to Slide 8. The other main asset sale expected to be completed in 2026 is our stake in V.tal. The company currently holds 17% of its capital. V.tal is the largest neutral fiber network in Latin America with 400,000 kilometers of fiber and over 22 million homes passed. V.tal has a unique infrastructure presence and scale in Brazil, offering a solution that doesn't call for initial investments and reduces time to market or customers and operators and carriers that provide services to end users. Thus, despite having Oi as its anchor customer, the company has won several contracts with new customers in addition to diversifying its revenues by offering services based on data centers. This is an operation with high-growth potentials and long-term contracts that guarantee predictability in cash generation, a combination that tends to increase its sale value in line with similar transactions in the industry. Slide 9. The plan also provides for the sales of Oi's real estate assets. 7,900 properties, mainly land, plots and buildings all over the country. These were used for telecommunication services to be rendered but as technologies evolve, these properties are available as for the self-composition plan. According to the report issued by Ernst & Young, an integral part of the plan is considered by the properties and the assets have a significant value. To accelerate and expand the execution of these sales, we're developing a specific project that involves hiring players with expertise in this area and a segmented strategy based on the value and the type of the asset. It's important to highlight that the sale of these properties is subject to compliance with contractual obligation, especially in relation to the use of some of the properties by V.tal, under loan for use arrangement, which may result in relocation costs. Therefore, the net value of the property -- the properties must consider the cost of demobilizing the existing infrastructure and selling another property. The plan defines the allocation of the proceeds from the sale by value ranges, for sales of up to R$100 million. The proceeds will be fully allocated to Oi. And for sales of over R$400 million, the proceeds will be fully allocated to debt payments. The intermediate range will have 30% of the proceeds allocated to Oi and 70% for debt payment. The only exception applies to sales made before the approval of the plan, in which case the proceeds stay with Oi. Slide 10. The regulatory solution to resize the legacy is one of the fundamental pillars for ensuring company sustainability. After the approval by the Board of Directors of Anatel of the self-composition agreement agreed upon by the [CSEC] committee. The self-composition agreement was unanimously approved by -- in July by the TCU. Thus the effectiveness of the agreement now depends on the agreement of the AGU by the agreement regarding the treatment of the existing debts of Anatel. Due to some delays and formalizations and approvals, deviations from the premises incorporated in the plan we have already been observed. Once the negotiations with the Federal Accounting Courts, AGU, the Federal Accounting Court -- pardon me, the Attorney General AGU, were conducted with the self-composition agreement is effective. The regime migration will be carried out with the assumption of certain investment commitments that will be financed mainly by V.tal and potentially offset by arbitration. There's a potential here of over R$60 billion and the resources will be used mainly to pay the debt with Anatel. And subsequently, prepayments with commitments taken over by V.tal. And ultimately, any excess amount will be divided equally between Oi and V.tal. And Oi still being entitled to an additional investment of R$2.2 billion.
Cristiane Barretto: Thank you, Thalles. On Slide 11, we can see that with the migration to the authorization model, Oi will capture efficiencies faster by reducing legacy related costs. The legacy operation uses a high amount of cash currently due to the sharp drop in revenue without a proportional reduction in maintenance costs for this infrastructure, which is already obsolete due to regulatory restrictions. Most line items related to telecom infrastructure network maintenance, electricity, customer relations and G&A are made up of costs related to services using legacy technologies. For each of these cost items, we have specific actions with great opportunities for efficiency to be captured as we migrate customers from legacy to other technologies. And disconnect idle infrastructure in accordance with current legislation. Now Slide 12. As a result of the disposal of assets and adjustments to the legacy infrastructure. The New Oi now focuses on B2B, especially profitability, maintaining a business that requires little CapEx. Oi Soluções currently has over 40,000 customers, many of which are largest -- are the largest companies in Brazil, with revenues coming from long-term contracts. Our commercial strategy is based on the increasing sales of integrated solutions created in partnership with several market players. It stands out for its best experience and a specialized service to corporate clients. In the long run, New Oi will continue to focus on improving margins due to inefficiencies -- due to efficiencies to be captured through the elimination of expenses. Additionally, as it resolved solutions, it is low CapEx, which has an expected operating cash flow margin above 18% by 2028. I'll turn it over now to Mateus to talk about the quarter's results.
Mateus Bandeira: Thank you, Cris. Now on Slide 14. We're highlighting here the main operating and financial indicators for the quarter. In 2Q '24, the pace of revenue growth was significantly impacted by the sharp reduction in demand for the legacy services. It was also impacted by the more selective approach in B2B contracts. And there was a one-off impact to the floods in the state of Rio Grande do Sul, which had a direct influence on the fiber revenue growth. New Oi's revenue came to R$2.1 billion, a 13% drop year-on-year and that happened mainly due to the impacts of the reduction in noncore revenue, copper and DTH. Steel core revenue totaled R$1.5 billion, accounting for 72% of our total revenue. The fiber revenue came to R$1.1 billion, virtually the same as 2Q '23, if we exclude the one-off effects that reduced sales and revenue in Rio Grande do Sul. Despite the fact, it is important to highlight that we had the second quarter in a row with growth in net adds and homes connected, which reached 10,000 additional home connected in the quarter. As for Oi Soluções, in addition to the even more accelerated drop in revenue from our traditional services, Oi capped its commercial strategy of prioritizing margins and focusing on higher value segments. Roughly 30% of the B2B revenues already come from information technology services, which are more relevant to our clients and also have a high growth potential. Regarding efficiency, the implementation of new initiatives and our cost discipline led to a greater reduction in the costs this quarter in 2Q '24, with a significant decrease in all manageable OpEx items. Now, I'll turn it over to Rogerio Takayanagi. And he will comment on the progress of fiber and Oi Soluções operations in more detail.
Rogerio Takayanagi: Thank you, Mateus. Good afternoon, everybody. On Slide 15, I'll present our net revenue. And you can see that revenues continue to be strongly impacted by the non-core dynamics. In addition to a more selective approach, focusing on greater profitability and sustainable growth in core revenue. We can see that the core operations already account for 70% of -- 73% of our total revenue, highlighting the continued importance of fiber and B2B information and communication technology services in driving our growth and reducing our reliance on legacy services, which now account for a fraction of our revenues. The consolidated net revenue fell by 13% year-on-year. This result was impacted, again, by the demand for noncore services, which is on a downward trend, especially in legacy services, they use the copper infrastructure. Core revenues fell by 8.5% year-on-year, a result of a commercial strategy focused on profitability and quality and new sales and also on our client base management, both B2C and B2B aiming at healthy margins for the company. Slide 16 now. We can see the Oi Fibra results for the fiber segment. We are pursuing here an ideal balance between growth and profitability. Here, we are highlighting our revenue performance, which remained virtually the same year-on-year. The growth trend was impacted by the floods in the state of Rio Grande do Sul and specific actions focused on maintaining the service and managing the client base there, focusing more on the current base over acquisition. Excluding these effects, in the state of Rio Grande do Sul, revenue and ARPU remained stable in the quarter, benefiting from client base management actions that reduced delinquency and churn. On the right-hand side of the slide, you can see the evolution of a robust base of homes connected with over 10,000 new FTTH customers this quarter, a growth driven by higher quality sales coming, especially from digital channels. As Mateus said, the company implemented specific emergency measures in the state of Rio Grande do Sul in the quarter. In this context, it's important to mention that the segment's main operating indicators have already been at normal levels since July. And Oi is the carrier that recover the faster among all carriers in the region. Now on Slide 17, you can see the performance of Oi Soluções. In 2Q '24, Oi Soluções revenues were impacted by the sharp drop in revenues from traditional services especially from copper and also the strategy of prioritizing a more selective and profitability-focused commercial approach, taking healthy margins in a new competitive process with customers. Oi Soluções total revenue fell by around 23% year-on-year. And the telecom line, which includes commodity connectivity services saw a reduction of 18%, while the others line, which concentrates copper-based services saw a decline of 35%. The ICT revenues accounted for about 29% of Oi Soluções revenue in 2Q '24. On the right-hand side of the slide, you can see some ICT verticals that saw an increase. Cloud revenue had solid growth of 161% year-on-year. While UC&C and security revenues showed a significant increase of 17% and 14%, respectively. The company has made efforts to boost sales in high-growth verticals and has implemented specific actions to mitigate the effects of a more selective approach. Cross-selling to current customers and the development of new projects have already resulted in an increase of R$20 million in the sales funnel this quarter. I'll turn it over to Cris now, to present our cost structure and financial performance.
Cristiane Barretto: Thank you. Now on Slide 18, I'd like to highlight that this quarter, the efficiency initiative resulted in savings with reductions across all cost lines that are manageable. Routine operating expenses came to R$2.2 billion, a 4.3% reduction year-on-year, and 7.3% quarter-on-quarter. Excluding rent and insurance costs, which reflect the dynamic of the current fiber operating model with a reduction in the respect of CapEx, routine cost and expenses showed a reduction of 10% year-on-year and 8% quarter-on-quarter. On the right-hand side of the slide, we show that this reduction was supported by specific actions on 4 main fronts: on the commercial side, we decided to follow strategy focused on quality and profitability, changing sales policies and boosting the use of digital channels, which resulted in consistent drops in selling expenses, revenue, actually collection and delinquency. The latter as a result of higher quality in the client acquisition process. In terms of structure, we have made optimization effort in the pursuit of a leaner organization in light of the transformations that are taking place. There was a significant year-on-year drop of around 13% in personnel expenses in the last 2 quarters with a reduction of around 19% in the number of employees. On the legacy front, by capturing efficiency from new management initiatives as allowed by regulations, we reduced network maintenance expenses by 20% year-on-year. Also, we renegotiated content acquisition contracts, linked to legacy technologies such as DTH, which led to a 25% to 30% year-on-year reduction in the last two quarters. Finally, we adopted strict cost control to eliminate nonessential expenses that led to sharp drops in G&A, training and legal expenses, to name a few. Now on Slide 19, we can see that routine EBITDA continued to be negatively impacted by losses from legacy services, especially those linked to copper technology, as previously mentioned. We see important opportunities to improve profitability through additional cost reduction initiatives, mainly related to legacy services, as I said earlier, as we migrate to the authorization model, and also due to the resizing of the operation after the sale of UPI fiber. On the right-hand side of the slide, the net result of the quarter totaled over R$15 billion in profit, reverting the loss from previous periods. This result was a direct consequence of the adjustments resulting from the supplier restructuring process, including the take-or-pay contracts for towers and satellites with a positive effect of R$1.9 billion, reflecting the new payment conditions and the financial debt, due to the debt haircut and new conditions set forth in the plan, which resulted in a gain of R$18.8 billion. These effects were partially offset by the negative impact of R$2.8 billion from the agreement with V.tal, which led to the advanced recognition of the dilution of Oi stake in V.tal to 17%, eliminating the remaining obligations of the LTLA in the amount of R$1.5 billion. These movements led to a quarter-on-quarter improvement of R$17 billion in our shareholders' equity. Now on Slide 20, we present our 2Q '24 cash position, which stood at R$1.9 billion at the end of the period with a reduction of 8% quarter-on-quarter with operating cash burn partially offset by the disbursement of the fourth trend of the deep -- of the debt financing in May. CapEx in 2Q '24 came to R$137 million, 6.5% of our revenue, a 4.3 percentage point year-on-year reduction, a significant drop of 47.7%, driven by the gradual implementation of efficiencies, both in legacy services and core operations. This CapEx level is close to the company's new level, which is aligned with Oi's transition to a business model with low CapEx needs. The greatest working capital consumption was due to payments to creditors who, as approved by the reorganization plan, would be paid within a short period of time after the approval. The payment of interest-bearing liabilities reduced by 26% due to the new negotiated conditions set forth in the reorganization plan. The balance for noncore operations was a positive R$24 million, mainly due to positive impact of the advanced receivables from the Fundação Sistel due to the company's participation in the distribution of the surplus and the sale of real estate in the period, partially offset by the payment of obligations with Anatel in the amount of R$50 million. Now I'll turn it over to Mateus, to wrap up the presentation.
Mateus Bandeira: Thank you. On Slide 21, I would just like to underscore the main takeaway message this year. We have made substantial progress on critical front with some important tabs planned for the year. We completed a debt restructuring process resulting in a significant reduction of 70% in financial debt at fair value, we strengthened our liquidity by raising R$650 million with R$150 million in additional cash coming from V.tal. And we will continue to advance in the closing of the second round of UPI ClientCo sales process. We are going to publish the request for proposals in the coming days. And we are also going to have a capital increase to capitalize credit from creditors under restructuring Option I, which has already been submitted for approval by the competent government bodies. And we already have delays in the initial schedule for the adjustments to the concessions. And we hope that we are going to reach a solution in the coming days, allowing for the migration, the immediate migration right after the approval by the Federal Attorney General's office, allowing for us to migrate from the concession to the authorization model. And in the coming quarters, that will allow us to implement the other actions to reduce costs and also accelerate the disposal of real estate properties. Also, the company is going to resume the arbitration procedure, bringing opportunities to benefit its stakeholders. We are pursuing damages here due to the historical imbalance in our concession. We had another quarter with growth in fiber connected homes, and we devoted significant efforts in emergency actions to support our clients in Rio Grande do Sul. We will continue to focus on the profitable growth of the operation with initiatives to manage the quality of the B2C client base and also to accelerate sales of integrated solutions to B2B clients, maintaining our focus on cost control and increased efficiency that have yielded important results and should be boosted by the fall in legacy costs a resized operation after the sale of UPI ClientCo. Thank you very much for your attention. We're ready to take your questions.
Operator: [Operator Instructions] [Ramon Fonseca] UBS has the first question.
Unidentified Analyst : I'm Ramon from UBS. Can you talk about the factors that impacted the cash flow, especially from the operations side? We see that on the aggregate side, there is a reduction in cash burn, but there's also a reduction in CapEx. You said that the new CapEx level should be lower. Could you then talk a little bit about the expectation of cash generation in the coming periods? And that's it.
Cristiane Barretto: Thank you for your question, Ramon. As for CapEx, we are well in line with what we had published in the plan, about R$500 million for this year. We're slightly below that. In the coming quarters, we are also going to be slightly below R$500 million. So as per the plan as we had informed you. As for cash flow, we have all of the initiatives that we maintain or mentioned rather during the presentation regarding costs in every front, trying to capture results and benefits faster for the migration and for legacy costs, improving the cash flow as well. The cash flow is slightly better than we had last quarter, but it's still challenging or challenged by the legacy. It impacts the operations. So what I can say is that we are really well in line with what has been published, and we're following all of the initiatives that we proposed to improve costs as much as possible.
Operator: [Operator Instructions] Luis Plaster, the Chief IR Officer, is going to be addressing the questions.
Luis Plaster: [Foreign Language] Capital is asking a question in the platform. The question is going to be read in Portuguese, but we have simultaneous translation for the question and for the answer. The question is basically about the Consensual solution. It was approved by the Federal Accounting Court and is being analyzed by the Attorney General. Now is there a term for the approval by the Attorney General and what constraints or what items might be in those [indiscernible] company? Mateus seems to be answering the question.
Mateus Bandeira: Thank you for your question, Alessandra. Our expectation is that the Attorney General should confirm that by mid-September, the 13th of September is probably without any additional items.
Luis Plaster: [Operator Instructions] I have a question from [Eight] Capital. Is there a schedule for the monetization of the real estate assets? Do you have the breakdown of the value of the real estate assets over R$85 million -- pardon me, R$35 million? And how many assets would be above that?
Mateus Bandeira: Cristiane, please?
Cristiane Barretto: Thank you for your question, Anton. As Thalles said in the presentation, considering the high number of real estate assets we hope to monetize to keep to the plan. We have a specific process, hiring experts in the segment to accelerate it. We're organizing it by different areas. So as soon as we have more information about it, we will share it with you. We have about 50 real estate assets above R$35 million in our portfolio.
Luis Plaster: [Foreign Language] Capital asks, what assumptions is Oi using for the expected date to sell ClientCo as the -- for the moment we said early 2025?
Mateus Bandeira: Thank you for your question. The second round for the disposal of the UPI ClientCo is well determined in our reorganization plan. It is that we're part of the first round can also join the second round and faster. We expect a hearing to take place in September and the definition to be in mid-September. We don't know who the winning bidder is going to be. So we can't control the exact elements, but this segment is more fragmented than the mobility segment for which reason we expect complications or longer -- a longer period for the resolution of regulatory issues. We've been waiting since the beginning of the year from legal, corporate and operating perspective to get this process running, and we hope to get it running by the start of the year.
Luis Plaster: Next question [Elder] an investor asks Mateus. The arbitration proceeds, are they going to sit with the company after the asset sales?
Mateus Bandeira: The proceeds for the arbitration is on Slide 10 of our presentation. There is a priority payment to settle the debt with Anatel. Then the migration commitments taken on by V.tal and whatever exceeds that is going to be shared equally by V.tal and Oi. And we can have Oi Soluções as the main focus of these investments then.
Luis Plaster: [Co-Investment Seller] an investor asks, if we have a favorable ruling by the Attorney General and the disposal of the assets can settle the debt, would you still need to dispose of the share Oi has in V.tal?
Cristiane Barretto: Yes, it goes along with the fiber UPI. That's part of our strategic financial strategy to settle our debt. So financially, it's in the plan. These items are included so that we can reduce the debt.
Luis Plaster: All right, Cris. Thank you. Question to Thalles Paixão also from [indiscernible]. As the agreement is approved by the Attorney General. And with the new debt bonds being issued, would the company conclude the Court-Supervisory Organization process?
Thalles Paixão: The court supervision should last about at least 24 months. This is not something that sits with the company, the [soon] that sits with the company. But once we have completed the obligations and we're paying outstanding debt, then the judge can rule that.
Luis Plaster: Thank you, Thalles. [Indiscernible] has a question to Rogerio. What can we expect from the New Oi after the assets have been disposed, how our operation is going to be?
Rogerio Takayanagi: We're selling the client company, the Oi Fibra UPI, and we're simplifying the company, especially when it comes to the legacy. We have a large footprint and the clients interested in telephone infrastructure and copper infrastructure has decreased, and we're going to simplify the company after the migration. This infrastructure that is out there and not used should be turned off. That's going to simplify the company. There's a transformation process, not only to reduce the size of the company but the expenses. And that's an important shift in the corporate world. We have over R$2 billion in revenue. And we have been leveraging connectivity. Oi is the company with the largest footprint in Brazil in many segments, and all of the major economic groups and governments in Brazil are in our client portfolio. So basing off of the connectivity services, we want to add value-added systems with cloud, unified communications, cybersecurity and so on. These services tend to call for smaller investments. So it's easier to have the cash to finance them. And we believe we're in a unique position to go back to increasing our revenue. Thank you very much.
Luis Plaster: We have another question for Thalles. With the conversion process of the debt and the capital increase, will shareholders be entitled to underwrite those shares? Will they have the right of first refusal?
Thalles Paixão: Yes, the shareholders will have that right in a 30-day period according to the applicable legislation.
Luis Plaster: Okay. Thank you, Thalles. I believe that we have addressed all questions submitted by our audience. So now, I would like to turn it over to Mateus for his closing remarks.
Mateus Bandeira: Thank you very much for your interest. Thank you for your time. We are going to continue with the implementation of the remaining steps of our plan and will bring new updates in the coming months. And I think that we are going to have news to share with you in our 3Q '24 earnings call.
Operator: Thank you very much. This concludes the 2Q '24 earnings call for Oi. Thank you very much. And if you have any more questions, please make sure to access the company's Investor Relations website. You may disconnect now. Have a good day.